Operator: Good day, everyone, and welcome to today’s Lightbridge Corporation Third Quarter 2016 Earnings and Business Update Call. At this time, all participants are in a listen-only mode. Later, you'll have the opportunity to ask questions during the question-and-answer session [Operator Instructions]. It is now my pleasure to turn the conference over to Mr. David Waldman. Please go ahead sir.
David Waldman: Thank you, Savana. And good morning and welcome to the conference call for Lightbridge’s 2016 third quarter business update. The company’s news release was distributed after the market closed yesterday and can be viewed on the Investor Relations page of the Lightbridge website at ltbridge.com. If anyone has questions after the call, you may contact Crescendo Communications, the Investor Relations firm for the Company at 855-379-9900. Seth Grae, our Chief Executive Officer, will lead today’s call. In addition, the following executives are available to answer your questions; Linda Zwobota, Chief Financial Officer; Jim Malone, Chief Nuclear Fuel Development Officer, and Andrey Mushakov, Lightbridge's Executive Vice President for International Nuclear Operations. Today’s presentation includes forward-looking statements about the Company’s competitive position and product and service offerings. During the course of today’s call, words such as expect, anticipate, believe, and intend will be used in our discussion of goals or events in the future. This presentation is based on our current expectations and involves certain risks and uncertainties that may cause actual results to differ significantly from such estimates. These and other risks are set forth in more detail on Lightbridge’s filings with the Securities and Exchange Commission. Lightbridge does not assume any obligation to update or revise any such forward-looking statements whether as a result of new developments or otherwise. You can participate in today’s call two ways. First, you may submit questions for management in writing to ir@ltbridge.com. If you have already submitted a question we thank you. You can also submit them at anytime during the prepared remarks or during the Q&A period. Second, after the prepared remarks, telephone lines will be open for live questions. Now here is Lightbridge’s CEO, Seth Grae. Please go ahead, sir.
Seth Grae: Thank you, David, and good morning, everybody. We honor and express our gratitude to military veterans everyday and especially today on Veterans Day. During the past few weeks the company has reached major commercialization milestones. We issued a press release announcing our agreement with AREVA NP on key terms for US based joint venture. And we filed an 8-K disclosing a letter of intent with a US electric utility for Lead Test Assembly operation in one of its operating reactors. And we now have two key agreements for commercial deployment of our patented metallic fuel technology; AREVA as JV partner to fabricate fuel and a utility as a customer for that JV to use fuel on a commercial reactor. Lightbridge operates in the private sector and mostly avoids politics. I mentioned that we have an incoming president in Donald Trump who supports nuclear power in order to achieve energy independence. Lightbridge's technology will help meet that goal. Since the end of the third quarter of this year, we've achieved several important milestones. First, we signed the non-binding term sheet with AREVA NP that outlines a U.S.-based joint venture to develop, manufacture and commercialize fuel assemblies based on Lightbridge's next-generation nuclear fuel technology. The term sheet covers assemblies for most types of light water reactor including pressurized water reactors, boiling water reactors, small modular reactors and research reactors. We expect to formalize the joint venture with Areva in the coming months. We appreciate the support from Areva in rapidly moving this process forward. Areva is an ideal partner with extensive industry knowledge and expertise in nuclear fuel assembly design, licensing and fabrication. This arrangement with Areva sets forth a viable and well defined commercialization path for our patented metallic nuclear fuel technology in the global market including the United States, Europe and Asia. This agreement is also further validation of the growing global interest and demand for our fuel, which we've designed to enhance the safety and economics of nuclear power plants, and will allow utilities to generate more carbon free electricity. Following the announcement of this joint venture, on Tuesday we filed a Form 8-K with the SEC disclosing that we've signed a letter of intent with a U.S. nuclear utility for our first Lead Test Assembly contract, which will represent the first use of Lightbridge-designed nuclear fuel in a commercial reactor in the United States in one of this utility's nuclear plants. We expect to issue a press release with additional information in the near future. This letter of intent is an important step towards commercializing our nuclear fuel technology. We remain on track for irradiation testing of our fuel samples at the Halden reactor in Norway, and full commercialization of our fuel in the coming years. During the third quarter we announced that Lightbridge received a Notice of Allowance for a key patent covering our metallic nuclear fuel rod design from the European Patent Office. This EU patent has since been issued and added to our patent portfolio. To date, we have received numerous patents and now have very broad intellectual property protection in all key markets including the United States, Canada, China, Japan, South Korea, Russia, European Union-member countries and other key markets around the world. Securing our intellectual property rights is an essential part of our technology and JV business model. In the third quarter, we closed on a $2.8 million investment as previously announced which came in at a significant premium to market from Xingping Hou, the Chairman of one of the largest orange producing companies in China. Mr. Hou has large investments in a variety of energy and technology companies. Not only did this transaction significantly enhance our balance sheet, but we are especially pleased to welcome Mr. Hou to the Board as Co-Chairman and we welcome his participation given his tremendous experience and business acumen. We'll speak more about his involvement and opportunities in China later on the call. We look forward to announcing additional partnerships and support for our next generation fuel technology from additional reactor operators in the United States and around the world. Now I'll turn the call over to Lightbridge's Chief Financial Officer, Linda Zwobota to summarize the company's financial results for the quarter. Linda?
Linda Zwobota: Thank you, Seth. This quarter Lightbridge has significantly strengthened its balance sheet, as I will discuss later in this presentation. For the third quarter ended September 30, 2016 Lightbridge's net loss attributable to common shareholders was approximately $2.1 million, or a loss of $0.44 per share on revenue of $0.1 million. In the same quarter of 2015, the net loss attributable to common shareholders were $0.2 million or a loss of $0.05 per share on revenue of $0.2 million. All revenue was generated from consulting services. Stock based compensation was $0.4 million for the quarter ended September 30, 2016 compared to $0.2 million for the quarter ended September 30, 2015. For the nine months ended September 30, 2016, the company's cash flow used in operating activities was $3.9 million versus $2.5 million used in operating activities for the same period of 2015. Moving ahead to our balance sheet. Lightbridge had approximately $3.3 million in cash and restricted cash as of September 30, 2016 compared to approximately $0.9 million in cash and restricted cash at December 31, 2015. We had approximately $3.1 million and working capital at September 30, 2016 as compared to working capital of approximately $0.1 million at December 31, 2015. Stockholders equity was approximately $5.1 million as compared to stockholders deficit of approximately $1.5 million on December 31, 2015. On June 28 of this year, Lightbridge entered into a Securities Purchase Agreement with General International Holdings or GIH pursuant to which GIH purchased 1,020,000 shares of our newly created Non-Voting Series A Convertible Preferred Stock for $2.8 million or approximately $2.75 per share. We subsequently completed this transaction on August 2 which has improved our company's cash and the stockholders equity position. We also entered into an option agreement with Aspire Capital that will give it an option until December 31, 2019 to enter into two equity line agreements for a combined total of $20 million of funding. The primary sources of cash available to us presently are equity investments through our security purchase agreement and equity line purchase agreement with Aspire Capital Partners, LLC, and our ATM agreement with MLV & Co, LLC. We have no debt or debt credit lines and we have financed our operations to date through the sale of our stock and our consulting revenue. To date, we have raised approximately $3.6 million in 2016 through our equity purchase agreements with Aspire Capital. This concludes my summary. I'll be available for your questions during the next segment of today's presentation. And Seth back to you.
Seth Grae: Thank you, Linda. Our updates today have centered on the United States market for nuclear fuel. With the planned US based joint venture with Areva NP, and a letter of intent with the US nuclear utility for the first use of Lead Test Assembly of Lightbridge designed fuel in a commercial reactor in the United States. We plan to start here and expand domestically and internationally. The US is our home market, it has the most commercial reactor of any country and US Nuclear Regulatory Commission licenses help with sales overseas. We are already preparing for global adoption of Lightbridge fuel. We now have a prominent Chinese businessman on our Board and we have advisors and contractors in Europe and many other regions. Our plant JV with Areva can sell fuel globally and can license the technology in countries where that makes the most sense to other companies. At the end of August, I gave a key note address to Chinese business leaders at event held in Beijing organized by Lightbridge's Co-Chairman Xingping Hou, it was a well attended event and we appreciated the opportunity to meet with business leaders from around China and introduce Lightbridge's advanced nuclear fuel technology. China is rapidly growing nuclear power sector present a significant opportunity for Lightbridge's fuel technology. The 30% power operate capability offered by Lightbridge metallic fuel could be particularly attractive for new build nuclear power plant in China, resulting in an estimated 13% reduction in upfront capital costs. Based on estimated capital cost of $4,500 per kilowatt of generating capacity, the 13% reduction in upfront capital costs could translate to approximately $85 billion in total cost savings for an additional 150 gigawatt of electricity of nuclear generating capacity in China through 2050. China has also announced plans to create a nationwide carbon market in 2017. That is on track to become the largest in the world. Even if the Trump administration does not proceed with the clear power plant in the US, there are similar arrangements being considered in markets around the world providing carbon credits for increased nuclear power. And as I mentioned earlier, Donald Trump is quite supportive of nuclear power as means to achieve energy independence. We designed our metallic fuel to increase the economics and safety of reactors. With the power operate in longer fuel cycle, Lightbridge fuel will help countries meet climate goals, air pollution goals and become more energy independent. When we look at the climate goals of China, across Europe, and around the world, we see that any realistic path to achieving these climate goals must include a significant increase in nuclear power. Lightbridge technology can facilitate a more rapid expansion of nuclear power via power operate of both existing and new build units. Our fuel also significantly enhances the economic case for nuclear power. As a result, we are seeing increased interest in our fuel designs from reactor operators in the United States and around the world. Let's open the call to your questions. In addition to ask live questions by phone, you can submit questions in writing to ir@ltbridge.com. We will pause while Savana reviews the procedure for asking live questions.
Operator: [Operator Instructions]
David Waldman: In the meantime while we wait for questions I'm going to take a moment read aloud to questions that have been submitted electronically during the call or in advance of the call. The first question Seth is congratulation on the JV with Areva. Can you comment on scope of activity for the proposed JV with Areva and the timing for finalizing the time on definitive JV agreement with Areva?
Seth Grae: Well, thank you for that question. And I'll ask Andrey Mushakov, our Executive Vice President for International Nuclear Operations to start with the answer.
Andrey Mushakov : Thank you, Seth. Yes, the scope of activity that is for our proposed joint venture includes completion of development, demonstration, regulatory licensing and commercial deployment of our nuclear fuel globally in most of light water type reactors including pressurized water reactors and boiling water reactors and small modular reactors as well as research reactors. So it covers the vast majority of reactors that are out there right now in operation as well as under construction or have been proposed. It excludes only some types of heavy water reactors that are not covered as well as Russian type VVR light water reactors. In terms of the timing for finalizing our definitive joint venture agreement with Areva, as we have communicated we are on track to finalizing that final definitive agreement relating to the joint venture within the coming months. And we'll communicate as the time passes once we achieve that milestone but within the next few months we should be able to finalize and execute that definitive joint venture agreement and set that joint venture up.
David Waldman: And I believe we have a question, operator?
Operator: Yes. We will take our next question from Paulenne Kirschenbaum from Chapin Associates. Please go ahead. Your line is open.
Paulenne Kirschenbaum: Good morning, everyone. My question is at what point in time does Lightbridge project that its cash flow from its technology revenues will reach a cash flow breakeven with its operating expenses, thus eliminating the need for further equity dilution?
Seth Grae: Well, thank you Paulenne for that question. We do expect cash flow from nuclear fuel to begin next year with milestones as we finalize Lead Test Assembly agreement with utilities that will include early payment such as technology access fees. And Andrey, do you want directly discuss the point on breakeven?
Andrey Mushakov : Well, it is going to depend on how much external funding we can jointly secure as part of our joint venture company. We are going to as Seth pointed out there will be cash payments or cash contributions from one or more utilities to the joint venture towards the cost of the research and development and demonstration effort. As well as we are going to seek funding from other sources including the US Department of Energy as well as other sources. So if we are successful raising cash from those external sources in addition to the cash that we expect to receive from utilities then in terms of our cash requirements from Lightbridge towards research and development activities going forward, those requirement, cash requirements are going to be reduced dramatically. But at this point, it is difficult to give specific numbers on the percentage of reduction and I guess requirements or if we wouldn't need it all to contribute any cash from Lightbridge towards our remaining R&D efforts. It's going to largely depend on the total amount of cash we can raise those external sources, so to pay for parts or maybe all of those R&D efforts by the joint venture company.
Seth Grae: Right. And those external sources will be non dilutive to Lightbridge stockholders.
Paulenne Kirschenbaum: Thank you, guys. And congratulation on the two milestones you've just accomplished. But there is a concern and you have addressed in whatever can be done to avoid further dilution as far as the common shareholders goes will be greatly appreciated. Thank you so much.
David Waldman: Thank you. We have another question that's been submitted by email. You announced what seemed to be a major milestone in an 8-K rather than a PRP comment and why didn't issue press release around the LOI for our first commercial order for Lead Test Assembly? And can you also expand the nature of commercial arrangement with this utility?
Seth Grae: Well, we will expand on the nature of the commercial arrangement with the utility as we and the utility agree on external communications. Nuclear utilities are rightly very, very conservative about communications and we will be forthcoming but not yet. What we did disclose is that there is a letter of intent for lead test assembly contract that will be for a lead test assemblies of full sized commercial scale Lightbridge fuel used in one of that utility's US commercial nuclear power reactors. We did not issue a press release because we are not yet agreed on a joint press release with the utility which we intend to do. But we wanted to get the news out right away because we felt as management that this is something investors would want to know. We felt that it was material in that we held it out as a milestone to reach this year and we did reach it. Which utility it is, which reactor it will be, those are all details that we will be forthcoming.
David Waldman: Thank you. Operator, if you could see up and then I'll proceed with some additional questions that have been submitted electronically.
Operator: [Operator Instructions]
David Waldman: The next question that we received was, did the nuclear utility company need to make any modification to their reactors? Or is it plug and play model and what is the upfront investment cost for utilities and what is their ROI?
Seth Grae: I want to start first in related area. So supplemental, my answer to the last question which is as we said a bit earlier response to Paulenne Kirschenbaum's question that we do expect this agreement with the utility to be revenue generating to Lightbridge. And that is relevant to all of these questions. As for modification that needs to be made to the reactor, this is a close to plug and play as you can get a nuclear power. There is no such thing as pure plug and play that you literally doing nothing to a reactor who we switch to a new fuel. But essentially this fuel really does just drop in where the old fuel was in the core of the reactor and replaces it. It is designed to do that. And the changes are really what's call the balance of plant and the turbine island the non nuclear parts of the plant. And the reason you have to change that is you are generating more power for a longer fuel cycle. And those parts of the plant have to be able to take and generate more power and more electricity such as opening the steam pathways in the turbine to take the more power. Now Siemens said in an independent report on everything that has to be done in the first ever kind reactor like the one that we are now signing with for using our fuel. And for core of Lightbridge fuel not just Lead Test Assembly but for the whole thing as you switch phasing in a third of quarter time during refueling cycle. Siemens came up with a number of $85 million for everything that it would take to switch to Lightbridge fuel. And you could see the details of that on the Investor Relations part of the Lightbridge website where there is a PDF of the complete Siemens report. And you will see in there that it goes through every single stuff that was listed in there. What has to be changed in the turbine island, the balance of plant, the licensing with the NRC? And we would expect the future reactors would cost less particularly future similar reactor of the same type and at the same utility. And at one time cost that can be balance sheet finance by utility and utility would make that in a couple of years from the economic benefits of using our fuel. So the upfront investment would be about $85 million. The ROI, we have that in our Investor presentation depending on the wholesale price of electricity, it's somewhere between about 35% and 40% plus ROI. So one time $85 million investment would have private equity or better type ROI for as long as the utility run the reactor. So the economic benefits of Lightbridge fuel are just stunning. And so are the safety benefits. And that's what attractive these utilities and attracting Areva who want to sell this fuel to them.
David Waldman: Great. Thank you. Our next question what is the expectation for selecting the sample fabricator and beginning fabrication for insertion into Halden? What is if anything is causing delay?
Seth Grae: Well, the sample fabricators will either BWXT or Canadian Nuclear Laboratory. They have both submitted very strong proposals to us. We will be selecting one of those. Almost certainly before the end of this year. They both had gone through a lot of change during this process. We started out with AECL Chalk River Laboratory that went through dramatic changes to become Canadian Nuclear Labs under new management and we started out with the Babcock & Wilcox that split into two companies one of which is BWXT which is also in stock exchange. But they both gone forward very, very well and as they gone through these changes and were on track. And we will be selecting the winner. And during this time we've also started working with Areva NP which is a largest nuclear supplier company in the world including being the largest nuclear fuel fabricator and sale in the world. And has its own capabilities of making sample fuels for research reactors. And you noticed that in our non binding term sheet with Areva. Research reactors are actually one of the areas covered by that term sheet as well.
David Waldman: Great. Thank you. Can you comment in more detail following the selection of fabricator and the remaining steps leading up to testing and how long before we have data will you be able to report?
Jim Malone: This is Jim Malone speaking. We have -- once we get the fuel fabricator selected, the process will begin to perfect the production method of the fuel. So it is repeatable at the laboratory or sample stage right through full assembly production. It is very important that we have consistency there. When that happens the remaining steps will be to place the fuel in Halden reactor and basically put it into the nuclear environment of a standard pressurized water reactor including the water chemistry, the flow and the temperature that are involved in the sample process. It will take several years to burn the fuel to its limit as we expect that probably on -- [4 to 5]. We will begin to get data probably at least 12 months after the first fuel that is loaded into Halden test reactor. We purposefully have set up a program that will allow us to extract some of the samples on a periodic basis. And send them to Sweden for disruptive examination of the physical properties of fuel as it burns. We wanted to know and understand how the fuel changes as the burn up or the consumption of fuel progresses. It is very important information for us to have the technical knowledge that we can transfer to the licensing application to show that the fuel is superior and that also we have the ability to predict its performance under all conditions. So we will have data to report from the 12 months period after that it will be on a periodic basic, probably every six months we'll have additional information.
David Waldman: Great, thank you. Our next question is can you comment in more detail on the remaining -- I am sorry, can you comment on the feedback from both governmental body and utility in other countries that you would be getting to Lightbridge's fuel including China?
Seth Grae: Well, first of all for governmental bodies, we've worked very closely with entities in Norway particularly the Norwegian Radiation Protection Authority, the Nuclear Regulatory Authority in Norway which has granted the licenses for our irradiation testing at the Halden reactor. And in that license it speaks very strongly and positively about the attributes of Lightbridge fuel. It doesn't just grant it. It very enthusiastically does so for the benefit of this fuel bring. We have met with utilities and government authorities in China. We met I'd say with every major Chinese nuclear entity. And we have very strong and increasing strong contact in China and are in fairly regular contact with people in China. We have not sought any approvals from the government of China. I think that would be more likely something that will be done by prospective partners within China who are fuel fabricators and /or utilities or are joint venture with Areva be the applicant to Areva is a very large supplier of reactor and fuel in China. One of the largest, they are internationally one of the largest and most active companies, the largest in the world, one of the largest and most active in China in the reactor and fuel area. And that could be Areva or that could be our JV with Areva doing that as well or the JV with Areva working with partners in China as Areva does as well. So we don't yet have any approvals and as I said earlier in the call, it is important that we start in the US market for many reasons including the getting this NRC set of approvals is so helpful around the world. The only US reactor vendor, new contracts being built for new reactors by US vendors around the world since 2000 are the many Westinghouse reactors being built in China. And I don't think those reactors would have been ordered in China, had China not been confident after seeing US licensing, US design basis certification by the NRC of those Westinghouse AP1000 reactors and of the fuel for those reactors. Areva started out as a Westinghouse licensee with US NRC approved technology. So we are very much preparing the ground for rapid expansion in China but as we get US approval that will help and that's going to start pretty soon with Lead Test Assembly process with the US utility that is already in contact with the NRC.
David Waldman: Thank you. Our next question is what is the outlook for the services side of the business? Are we in discussion to any foreign government at the moment to provide advisory services?
Seth Grae: Yes. The advisory services started with an amazing opportunity that we see in Abu Dhabi in United Arab Emirate, where we wrote the whole strategic plan for nuclear power for the UAE call the roadmap for success and have advised the program ever since. Partly due to Fukushima, partly due to collapse in natural gas prices, there never was another opportunity in the world like in Abu Dhabi, a country that never had nuclear power that went forward so quickly and so strongly and so responsibly with the new program. The new reactor order have been in places like China that already had reactors or in countries like Bangladesh that went with one state control entity deploying the program in that case Rosatom from Russia. And in other cases from China and Pakistan. And those types of contracts is very hard to have an outside entity like Lightbridge be involved because they are doing the whole thing with one state control entity for example under the Putin administration in Russia dealing with the Bangladesh example. But we have picked up a lot of other contracts in other places and Linda has reported today on revenue we've received from Abu Dhabi and elsewhere. We've recently done some expert witness consulting for US law firms. And we provided expertise to US utilities and we've provided guidance to the country of Kuwait in its looks at nuclear power to the Golf Cooperation Council in the Middle East. We've done some work in China. We've done some work in Japan. We've done some bits and pieces of work in other countries. We have a contract with Lloyd's Register from the UK, one of the most revered and respected company name in London is Lloyd's Register where we team with them on some of our work for the nuclear regulatory, it is already in Abu Dhabi for work in the UAE and in South Korea and elsewhere. And we've done some work directly for South Korea. We actually received this morning some contact from a country asking if we would be interested in bidding for some new work in that country which we will. But mostly our consulting work has been opportunistic where we saw that opportunity in Abu Dhabi and we seized on it because it is the strategic management level consulting that we could charge very high rates for. And make a lot of money. That first year we worked in Abu Dhabi, we charged $22.2 million at a 50% gross margin of $11.1 million. And overall half of the money we raised and spend as a company has been margin on our consulting business. And that's why we've never had debt and never had to raise more money and dilute shareholders. Now we feel very good about that. And we will continue to do that. But now we are really transitioning to the fuel division of the company coming into its own. And starting to what we think would be generating meaningful revenues and having other partners like funding through DOV, through our JV with Areva picking up the cost here. So we don't see a lot of great opportunities because the countries isn't consulting, the countries that contact us really aren't looking for like all high level strategic guidance. It is lower paid work in smaller amount that just doesn't generate a lot of revenue for us. It is one thing to charge many, many hundreds of dollars an hour, it is another thing to charge a less and that's just not worth it first. We invented the kind of strategic advice we gave to Abu Dhabi. No country in the world had prepared the strategic plan for countries starting a new nuclear power program. There hadn't been a new nuclear power program in the world in 30 years since China was the last one. So we invented a business we thought should exist, we seized on it opportunistically but now we are seizing on these opportunities for fuel. And we will still do consulting, we will still be going forward with some opportunities but I just don't think it's going to be a growth area for us. It is the fuel where there is the benefit for our shareholders. And the consulting work helps fund that work. And that helps reduce dilution to our shareholders.
David Waldman: Thank you. Our next question is can you elaborate on how the fuel reduces the refueling time?
Seth Grae: How the fuel reduces the refueling time? The fuel doesn't reduce the refueling time. The reactor shutdown for about 15 days to a few weeks to do two things. They refuel and they do all kind of maintenance and services on their reactor. And that's the only time the NRC can get into the reactor, it is the only time the key service and maintenance can be done on the reactor. And especially as we are lengthening with our fuel the refueling to be once every two years instead of once every 18 months, I am sure the NRC and others who want to make sure that they do have those opportunities and getting there and inspect. So it is not going to reduce the refueling time. It will be exactly the same as it was with other fuel; just it will happen less often, every two years instead of 18 months. So the reactors will be running and generating electricity more days each year, generating revenue more days each year. And everyday will sell more power, generating more revenue than the old fuel did. But it won't reduce that 15 days or few week period depending on the reactor that they change fuel.
David Waldman: Okay. Thank you. Our next question is the US nuclear utility company that signed the Lead Test Assembly contract also member of the nuclear utility fuel advisory board?
Seth Grae: Well, we've agreed with the utility not to disclose its identity yet but we will in joint press release or press release by Lightbridge if they approve but we are not going to start sort of process of elimination giving certain categories which are they in. I'll say that the nuclear utility advisory board to Lightbridge is comprised of four major utility just enormous utilities do extra long southern and Dominion and that they jointly submitted to the NRC last year, a notice asking the NRC to prepare to receive the license application for Lead Test Assembly and they are advising us in the licensing area, in the development and commercialization of the fuel, they met with us jointly with Areva and we are all working together. And as we've always said there are also other utilities in the United States and around the world that we are in contact with and working with including as we said in this call China. This is a US utility that may or may not be a member of the nuclear utility fuel. Advisory board that will be the first to be using Lightbridge fuel in one of its commercial reactors of Lead Test Assembly of our fuel and really that's all we can say at this point.
David Waldman: Thank you. Our next question is what is your currently anticipated schedule for US NRC approval?
Seth Grae: Well, again NRC approval will not be to Lightbridge, designing fuel is not licensed by the NRC. The JV with Areva will have NRC approvals to fabricate and sell fuel and transport fuel. The utilities using the fuel have licenses from the NRC to use the fuel. And clearly those processes are already starting to get underway in contact with the NRC in order to meet our timeframes we think that will start to increase -- well you will see the utility activity with the NRC if they are receiving license but from the contact we had with the NRC and with internal NRC experts at Lightbridge and at the utilities and at Areva, we fully expect that within its total independent and its total discretion, the NRC will be able to provide the licenses to meet our timeframes.
David Waldman: Great. Thank you. And our last question what do you expect the impact of a Trump presidency would be any outlook for nuclear and for Lightbridge fuel specifically?
Seth Grae: Well, as I said earlier on the call, Lightbridge tries to not be involved much in politics. We get involved with governmental entities as needed and as can be helpful. And we believe that the JV with Areva and utilities will be seeking loan guarantees and other support from DOV and those programs are actually pretty apolitical in the nuclear area. And we'll probably go forward unaffected under a Trump Presidency. I think that as I said earlier, Donald Trump has been very supportive and his campaign has been very supportive of nuclear power as part of a way to achieve US energy independence. And you can only achieve that part of this energy plan by keeping the currently operating reactors open. Adding power to them and building new ones. And our fuel hits all those areas in ways the nothing else can. Very strongly hit those areas and then within individual states there is a lot of activity and movement on climate change and on carbon goals within state and climate goals within stages including you recently saw the Cuomo administration in New York state moving forward very significantly to save reactors which they did successfully and keep them operating to meet the state's climate goal. We are seeing something similar starting to happen in Illinois now. Donald Trump also summarizes his energy policy as all of the above and in all of the documentation from his campaign, very, very strong includes nuclear power as part of meeting that goal. What we are starting to see when politically perhaps with changes in administration coming and with therefore the strengthening of Republican control in the house and senate even with somewhat diminished numbers in each public president of their party, is perhaps support for subsidies for renewables. As renewables also are beginning to be able to stand on their own without the subsidies. And if those subsidies are reduced or eliminated and then wind can't beat negative pricing at night. And we have this market extortion from subsidies and renewables. I think you will start to see very significant gains for nuclear power that really do beat their pricing quite significantly. So that could also lead to an increase use in natural gas that would increase the price of gas at least a bit and possibly quite a bit which would also relatively help nuclear power. And as you can see in our Investor presentation on the website, switching a reactor to Lightbridge fuel is the lowest cost weight at baseload electricity to the grid in a country, in the United States included, even cheaper than subsidized renewables. And I think this is something that will stand on its own as our utilities and fuel fabricators are starting to see they call and see around us. So the question was the impact of a Trump Presidency on the outlook for nuclear and for Lightbridge specifically, well, I think for nuclear it is going to be very good. For Lightbridge, as far as now he hasn't spoken about it specifically but I think within what he said about nuclear, we are going to be a big winner.
David Waldman: Great, thank you. That concludes our questions. So I will turn it back to you Seth for any concluding remarks.
Seth Grae: Well, first off, just ask Savana if there were any other last questions by phone?
Operator: There are no questions at this time. [Operator Instructions]
Seth Grae: Okay. Well, thank you for all of those questions everybody. They were very good questions as we said this is a very important time for Lightbridge as we've been hitting key milestones both on the supply of our fuel with Areva and with demand for our fuel by customer, with the utility. We look forward to providing additional updates in the very near future and over the next several weeks and months. In the meantime, our lines are always open at ir@ltbridge.com and at phone number one, 855-379-9900. Thank you. Good bye and once again thank you for our veterans on this Veterans Day.
Operator: This does conclude today's Lightbridge Corporation Third Quarter 2016 Earnings and Business Update Call. Thank you for your participation. You may disconnect at any time. And have a great day.